Operator: Good morning, ladies and gentlemen. Thank you for standing-by. Welcome to the High Liner Foods' Incorporated Conference Call for the Fourth Quarter and Fiscal 2014 Results. At this time, all participants are in a listen-only mode. Following management's prepared remarks, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. [Operator Instructions] This conference call is being recorded today, Wednesday, February 18, 2015 at 02:00 PM Eastern Time for replay purposes. I would now like to turn the conference over to Ms. Heather Keeler Hurshman, Director of Investor Relations for High Liner Foods. Ms. Keeler-Hurshman. Please go ahead.
Heather Keeler Hurshman: Thank you, Mike, and good afternoon everyone. Thank you for joining High Liner Foods conference call to discuss our fourth quarter and fiscal 2014 financial results. On the call today from High Liner Foods are Henry Demone, Chief Executive Officer; Paul Jewer, Executive Vice President and Chief Financial Officer; and Keith Decker, President and Chief Operating Officer. Today's call will start with Paul reviewing the Company’s financial performance for the fourth quarter and fiscal 2014 followed by Keith who will discuss operational highlights in 2014. And then before opening the call for questions, Henry will provide an update on strategy and concluding remarks. Before turning the call over to management, listeners are reminded that certain statements made in today's call may be forward-looking statements that are subject to risks and uncertainties. Management may use forward-looking statements as they discuss the Company's strategy and business in the future. Actual operating or financial results could differ materially from those anticipated in these forward-looking statements. High Liner Foods includes a thorough discussion of the risk factors that can cause its anticipated outcomes to differ from actual outcomes and its publicly available disclosure documents, particularly in its annual MD&A and annual information form. Please note that High Liner Foods is under no obligation to update any forward-looking statements discussed today. Earlier today, High Liner Foods reported its financial results for the fourth quarter and fiscal year ended January 3, 2015 that news release along with the Company’s MD&A and audited financial statements for fiscal 2014 have been filed on SEDAR and can also be found in the investor information section of High Liner Foods’ website. If you would like to receive our news releases in the future, please visit the Company's website to register. Lastly, please note that the Company report its financial information in U.S. dollars and the results to be discussed today are stated in U.S. dollars unless otherwise noted. I will now turn the call over to Paul. Paul, please go ahead.
Paul A. Jewer: Thank you, Heather, and good afternoon everyone. I’ll begin with the review of the results for the fourth quarter of 2014 and then I will speak to the results for the full-year. Before starting my review I would like to highlight a number of items to listeners. The first of these being that I will use certain non-IFRS measures in my financial review that we believe are necessary to fully understand our results. These measures are fully described and reconciled to IFRS measures in our MD&A. Secondly, I’d like to remind listeners that we acquired Atlantic Trading Company on October 7, 2014 and this is the first quarter that our results have included the impacts of this acquisition. Similarly, we purchased American Pride on October 1, 2013 and this is the first fiscal year being reported that includes the full-year of results from that acquisition. The third item I’d like to highlight that the company has a floating fiscal year end with the last day of the fiscal year being the Saturday closest to December 31. While most fiscal years include 52 weeks, occasionally they include 53 weeks and fiscal 2014 was one of the 53 week periods. The additional week of operations is reflected in the fourth quarter results, such that Q4 2014 reflects 14 weeks of operations compared to 13 weeks in Q4 of 2013. Lastly, on May 30 of this year High Liner Food's outstanding common shares were split on a two-for-one basis and the impact of this stock split has been retrospectively applied such that all comparative earnings per share information discussed in the call today has been restated to reflect the split. Now from my financial review of the fourth quarter, reported sales increased in the fourth quarter of 2014 by 6.5% to $266.9 million compared to $250.7 million in the fourth quarter last year. Atlantic Trading contributed $13.6 million to sales in the fourth quarter. In domestic currency, which is before the impact of converting Canadian dollar denominated sales to U.S. dollars, sales increased by 9.1% to $277.5 million compared to $254.4 million. The weaker Canadian dollar decreased the value of reported U.S. dollar sales by approximately $6.4 million relative to the conversion impact in the fourth quarter of 2013. Sales-by-volume increased in the fourth quarter of 2014 by 3% to 76.6 million pounds compared to 74.4 million pounds in the fourth quarter of 2013. Atlantic Trading added 1.9 million pounds to the fourth quarter and excluding Atlantic Trading pounds sold increased by 0.3 million primarily reflecting higher sales volume from our Canadian operations partially offset by lower sales volume from our U.S. operations. Adjusted EBITDA decreased in the fourth quarter of 2014 by $2.3 million to $20.4 million and was 7.7% of sales compared to 9% of sales in the fourth quarter of 2013. Adjusted EBITDA decreased due to lower product margins in both countries. Higher SG&A expense in the U.S. and the impact of a weaker Canadian dollar. Partially offsetting the unfavorable impact for these items are higher sales volume and lower distribution costs in the U.S. Reported net income decreased in the fourth quarter of 2014 to $5.6 million with diluted earnings per share of $0.18 compared to net income of $8.8 million and diluted earnings per share of $0.28 in the fourth quarter of 2013. This $3.2 million decrease in net income reflects the overall adjusted EBITDA, higher one-time cost related to business acquisition, integration and other activities, including external consulting costs related to the Supply Chain Optimization Project and an impairment loss on equipment related the announcement on January 9, 2015 that it will cease production at our leased manufacturing facility in Malden, Massachusetts in the second quarter of 2015; and higher financing costs as a result of higher debt levels in 2014. The unfavorable impact of these items was partially offset by lower stock-based compensation expense and income taxes in the fourth quarter of 2014 compared to the fourth quarter of 2013. Excluding the after-tax impact of certain unusual or one-time items which are explained in our MD&A, adjusted net income decreased in the fourth quarter of 2014 by $2.8 million or 23.5% to $9.1 million compared to $11.9 million in the fourth quarter of 2013. And correspondingly adjusted diluted earnings per share are decreased by $0.09. Now, turning our results to the full-year. Reported sales increased in fiscal 2014 by 11% to $1,051 million compared to $947.3 million marking the first time annual sales exceeded $1 billion. On a combined basis American Pride and Atlantic Trading increased sales by $111.1 million in 2014 compared to 2013. In domestic currency sales increased in 2014 by 13.3% to $1,083.5 million compared to $956.3 million. The weaker Canadian dollar decrease the value of reported U.S. dollar sales by approximately $22.2 million relative to the conversion impact in 2013. Sales volume increased in 2014 by 9.3% to 307.6 million pounds compared to 281.3 pounds in 2013. Collectively American Pride and Atlantic Trading increased sales volume by 33 million pounds in 2014 compared to 2013 and excluding their impact pounds sold decreased in 2014 by $6.7 million reflecting lower sales volume for our U.S. foodservice operations. Adjusted EBITDA decreased in 2014 by $2 million to $83.3 million and was 8% of sales compared to 9% in 2014. On a combined basis American Pride and Atlantic Trading increased adjusted EBITDA by $3.4 million in 2014 compared to 20013 and excluding their impact adjusted EBITDA decreased in 2014 by $5.4 million. This decrease reflects lower overall sales volume, lower products margins in Canada, higher SG&A expenses in both countries, higher expenses in corporate and the impact of a weaker Canadian dollar, partially offset by higher products margins and lower distribution cost in the U.S. Reported net income decreased in 2014 to $30.3 million with diluted earnings per share of $0.97 compared to net income of $31.4 million and diluted earnings per share of $1.01 in 2013. The $1.1 million decreased in reported net income reflects lower adjusted EBITDA. Higher runtime cost related to business acquisition, integration and other activities, including external consulting costs related to the supply chain optimization project, the impairment loss in equipment to the decision to cease production at the Malden Facility in the second quarter 2015 and higher financing costs as a result of higher debt levels in 2014. The unfavorable impact of these items partially offset by taxes paid in 2013 on inter company distribution along with lower stock based compensation expenses and income taxes in 2014 compared to last year. Excluding the effect of the after tax impact of certain unusual items or one time items as explained in our MD&A, adjusted net income decreased in 2014 by $2.5 million or 6.1% to $38.8 million compared to $41.3 million in 2013, and correspondingly adjusted diluted earnings per share decreased by $0.08. I’m now going to turn to the balance sheet. net non-cash working capital balance at the end of fiscal 2014 were $257.9 million which was $17 million higher than the net balance at the end of 2013, and was primarily due to lower accounts payable. Our net interest bearing debt balance at the end of fiscal 2014 was $364.8 million, which was $32.8 million higher than the balance at the end of fiscal 2014 was $364.8 million, which was $32.8 million higher than the balance at the end of 2013. Reflecting the use of debt in 2014 to acquire Atlantic Trading in October and to finance the $5.7 million payment made on October 1, to close operating leases relating to the American Pride. Along with increased net non-cash working capital requirements and higher capital expenditures in 2014, partially offset by cash flow generated from operating activities. As a result of the increase in net interest bearing debt combined with the adjusted EBITDA decrease in 2014 compared to 2013, a ratio of net interest bearing debt to adjusted EBITDA increased to 12.4 times at the end of 2014, compared to 3.9 times at the end of 2013. We expect this ratio to improve in 2014 as EBITDA is expected to increase and free cash flow will be used to reduce debt. That concludes my financial review for 2014. And I would now like to turn the call over to Keith to discuss operational highlights of 2014.
Keith A. Decker: Thank you, Paul. I’d like to elaborate on some of the items Paul mentioned that had an impact on our fourth quarter results, starting with those related to our Canadian operations. Sales in the fourth quarter from our Canadian business in it’s domestic currency increased by $9.3 million or 11.7% to $88.9 million and volume increased by 1.1 million pounds or 6.4% reflecting increased retail sales and the impact of an additional week of sales in the fourth quarter of 2014. Adjusted EBITDA from our Canadian operations again based on its domestic currency decreased in the fourth quarter of 2014 by $1.4 million or 14.1% to $8.6 million. This decrease reflects lower product margins as a result of cost increases not fully recovered through price increases in the fourth quarter, partially offset by increased sales volume. Also adjusted EBITDA in the fourth quarter of 2013 benefited from higher product margins that reflected lower raw material input costs. Turning, now the discussion to our U.S. operations. Atlantic Trading added $13.6 million to sales and 1.9 million pounds to volume in the fourth quarter of 2014. Excluding Atlantic Trading sales from our U.S. operations increased in the fourth quarter by $0.2 million or 0.1% and volume decreased by 800,000 million pounds or 1.5%. The decline in volume was primarily in our U.S. retail business, partially offset by the impact of the additional week of sales in the fourth quarter of 2014. Adjusted EBITDA for our U.S. operations decreased in the fourth quarter of 2014 by $1.2 million or 7.8% to $13.9 million, compared to $15.1 million in 2013. This decrease is due to lower product margins reflecting cost increases not fully recovered through price increases in the fourth quarter and higher SG&A costs partially offset by higher sales volumes and lower distribution costs. Other highlights for the fourth quarter include completion of the American Pride integration in November, which was on time and on budget, with the full benefit of the associated synergies expected to be realized in 2015. Additionally, in early December, employees moved into our newly constructed U.S. headquarters, a 38,000 square foot state-of-the-art facility located at the Pease International Tradeport in Portsmouth, New Hampshire. The opening of this facility was an important milestone. The Company has grown significantly over the last several years, particularly in the U.S., and the relocation and design of the building will help us serve our customers better and attract to retain the top talent required for continued growth into the future. The design of the building reflects update we recently made to our corporate branding that provides for a more distinctive and contemporary look and as part of these updates we also formalize the company’s mission statement which is to radically simplify selecting, preparing and enjoying seafood at its best. Seafood is a complex category for both businesses and consumers. Securing seafood is complicated due to the global supply chain and the existence of more than a 100 commercial sweeties and many people believe preparing seafood is difficult. We are committed to removing this complexity and simplifying the seafood category for all of our customers from procurement through to preparation. We have seafood experts and we want our customers to be able to leverage this expertise and ultimately be confident that they are serving quality seafoods products with superior taste and adequate value. And with that I will now turn the call over to Henry.
Henry E. Demone: Thank you, Keith. I would like to share with you that our strategic goals for 2015 will remain the same as 2014. Supply chain optimization, profitable growth and succession planning. In 2014, significant momentum was gained on our supply chain optimization goal aimed at taking advantage of the much large scale of business we built over the last several years through acquisition. In 2014, outside expertise was engaged to assist with a significant undertaking and the project was officially kicked off in the third quarter of 2014. Optimization efforts are focused both at the individual plant levels to improve labor productivity and yield. And as the consolidated entity level with the focuses on standardizing and consolidating ingredients and packaging as well as optimizing our global supply chain and procurement activities. On the last call, I shared that the individual plant optimization were of course well underway at our Newport News facility with plants to move into our other facilities towards the fourth quarter, which occurred at our Portsmouth plant as well as New Bedford and Lunenburg plants which were pushed out slightly to January where that work is now well underway. Last month we announced plants to cease production in the second quarter at our leased plants in Malden to reduce excess capacity across our U.S. manufactured facilities with expected annual savings of approximately $3 million on a pretax basis. We expect by the end of the first quarter to be in a position to provide a more detailed update under supply chain optimization achievements. The importance of this initiative really goes beyond achieving the savings of the short-term and as a catalyst for creating a cultural operating excellence to High Liner Food's, which I believe is key to creating value in the food business in the longer-term. Regarding our second strategic goal profitable growth in 2015 we will continue to focus on growing adjusted EBITDA through combination of organic growth and acquisitions. We continue to believe development of innovative product offerings which make it easy for consumers and customers to prepare and enjoy seafood are an important driver behind organic growth. Not only to grow our market share, but to increase overall demand for frozen seafood products in North America. In 2014, innovation efforts focused increasingly on the changing dynamics of the U.S. foodservice industry were more consumer dollars are migrating from full service casual dining to fast casual restaurants that feature fast high quality food with the compelling value proposition. And we expect to introduce products to the market place throughout 2015 that will work in the fast casual environment. We also remain committed to working with our major foodservice customers to help drive increased sales in our U.S. foodservice business, which despite recent challenges is still the largest part of our overall business. Profitable growth to acquisition in 2015 will include the impact of only Atlantic Trading for a full-year and realizing the synergies from the American Pride integration. In addition, the frozen seafood industry in North America remains highly fragmented and we continue to believe there are opportunities for future consolidation. In regards to our third strategic goal succession planning significant progress was made at the executive level of the company in 2014 with the new CFO and a new COO in the U.S. transitioning into the company during the first half of the year and we announced last November that Mario Marino our COO in Canada will retire in 2015, with his successor already identified in Mr. Jeff O'Neil and currently holds a title of VP Sales and Marketing for retail in Canada and has been working with High Liner Foods since 2011. Jeff has more than 20 years experience in the food industry. In 2015 succession planning activities will focus primarily on the Vice President and middle management levels of the organization. Overall, we made good progress on our strategic goals in 2014 and while we did not achieve the growth in EBITDA that we expected last year, I believe we have put in place several building blocks that will help us achieve our objectives in 2015. Lastly, before opening the call up for questions, I would like to share with you that earlier today our Board of Directors approved a quarterly dividend of $10.05 per common share payable on March 16, 2015 to shareholders of record on February 27. Operator, I would now like to open the call for questions. Thank you.
Operator: [Operator Instructions] First question comes from George Doumet with Scotiabank.
George Doumet: Hey good afternoon guys.
Paul A. Jewer: Good afternoon.
Henry E. Demone: Good afternoon George.
George Doumet: So on the U.S. gross margins they came in pretty soft this quarter, maybe can you provide us some color on that and. I guess two part question, moving forward I guess more from a timing perspective, what do we expect to see first, is it more margin relief from the higher input costs or some improvements in our product position in U.S. foodservice?
Henry E. Demone: I think on the first point in terms of margin in the U.S. as we referred to in the earlier comments, raw material pricing certainly had been a challenge, so that has compressed our gross margin in the U.S. business and its been particularly in the foodservice sector in the U.S. given the challenging environment there, its been difficult to fully pass on the cost increase in the prices, we believe we made good strike in that as particularly as we exited the year compared to where we were earlier in the year and we are hoping to have some favorable raw material cost - more favorable raw material cost pricing environment as we move through 2015.
George Doumet: Okay, great. And shifting gears I guess the M&A, obviously the M&A space there’s a lot activity out there. Can you maybe talk to what you are seeing in terms of multiple and so maybe comment on High Liner’s appetite I guess for larger scale M&A versus just bolt-on to this point?
Henry E. Demone: Well, George its Henry. If you talk about major branded food companies, the multiples are getting pretty rich these days, there have been a number of deals but set of our higher. And we would only pay those kind of multiples and I am talking about multiples north of ten, I mean that they are much higher. But we would only consider those kind of multiples for strategically align deal with the large synergies. And we are not working on any such deals today. To just let you know, but I think when you look at smaller bolt-on deals the multiples are lot less. And they are accretive to High Liner out of the gate before we get synergies. And while the synergies typically tend to be less than the larger deals, because you don’t have the plans and the SG&A to deal with there are still lot of some synergies. So for the time being we’re focused on the smaller bolt-on deals.
George Doumet: Okay, great and last one if I may. I know its early days, but can you maybe provide some commentary around the Atlantic Trading acquisition that’s performing inline with your expectations. Thanks.
Henry E. Demone: The business, we acquired it in October they had a fourth quarter that was inline with our expectations the opportunity for business if you go into – through 2015. Of course it’s a take there purchasing expertise and their product line portfolio. And to expand that across our Canadian and the U.S. operations and that work is well underway. So I would anticipate that we would start to see some momentum on that. But the business itself was relatively small business with limited headcounts.
George Doumet: Great appreciate. That’s it for me. Thank you.
Operator: Next question is from Sabahat Khan with RBC Capital Markets.
Sabahat Khan: Thanks. Could you perhaps comment on your input costs outlook for some of your largest species for the next share base and what’s you can see ?
Henry E. Demone: Sabahat, right now at timbers but right now we are dealing with high raw material costs particularly in U.S. dollars sorry particularly in few in U.S. dollar but particularly in Canadian dollars given the exchange rate. So we are dealing with some very high raw material costs I think that the supply and demand picture. And the strength in the U.S. dollar mean that many of these raw material costs have peaked and will - at worse plateau and in some cases reduce. It takes a quarter or two before that hit the income statement, but the bad news is behind us on input costs, but we are not expecting any kind of collapse or big movement, but they have talked out and the trend is down.
Sabahat Khan: Okay, thank you. And are you just on the U.S. side are you seeing any benefit of the improving backdrop at all in your U.S. foodservice business based on kind of the trends today?
Henry E. Demone: Yes, so we started to see some favorable improvement on some of our foodservice business before the end of the fourth quarter, which I think that there is a general improving mood out there as far as its consumption, given that there is some dynamics around fuel costs which are effectively a tax cut to the American consumer. So we are seeing some cautiously favorable momentum starting on the foodservice distribution side of our business.
Sabahat Khan: And just lastly on Atlantic Trading, you mentioned earlier that you are looking to get into some of the other channels outside where it’s distributed right now. Is there sort of a timeframe or is still kind of in the early stages of that process?
Henry E. Demone: The business for us is really an expansion across all of our core business channels whether the Canada or the U.S. and so the work has already started to take those product lines now and show them it’s a slow build because if you think about from a chain restaurant perspective, you have to go through their aviation and their R&D and their procurement activities and those can be anywhere from quick process for a national account of six months, a long process is 18 to 36 months. And on the retail side it’s a function pf package design and basically the activities associated was slightly going on the shelf. So I would say that the work is well underway, but I would anticipate seeing any momentum on that until the back portion of the year.
Sabahat Khan: Thank you.
Operator: Next question is from Marc Robinson with Cormark Securities.
Marc Robinson: Hey, guys, just pushing a little bit further on the U.S., so just lot of the commentary in the MD&A and on the call around the outlook for the U.S. is sort of muted and cautious. I’m just trying to reconcile that against the whole slue of data points in the market around really strong U.S. consumer sentiment, and really strong restaurant traffic in Q4 really healthy outlook a lot of the U.S. restaurant stocks taking out multiyear all time high. So what is - how do you reconcile sort of that muted view with the strength in that market?
Henry E. Demone: Marc, its Henry, I think Keith said we started to see the impact of that in December and frankly we continue to see at in January and February, but six weeks does in a quarter make so we are remaining cautious until we deliver the results.
Marc Robinson: Okay, fair enough. Can you give I am not sure that the information was available in the MD&A if you could previously have the American Pride was it seems some pretty material top line declines just I guess because of scale of dynamic. Can you give any commentary on how that is doing just maybe an update on that business?
Henry E. Demone: Yes, sure. So business is the combination of couple of areas, National Account business which we are following the same dynamic as our existing U.S. foodservice business. The second piece was a school foodservice, catering for education which is actually going fine, stabilize with that. The third piece of course is the Scallop business. And the Scallop business is the quarter was cut dramatically last year at the same time that we were seeing all time record high prices. And so as the volume of catch is down at the same time that you are seeing prices I believe the last week both price was just under $20 a pound for dollars. So those types of price points are building up resistance in the marketplace. So sales I would say at this point have been sluggish, there is a new fishing season that we will get underway at March 1.
Marc Robinson: Okay, thanks. And just final here, with the debt levels elevated kind of pushing four and a half time is a net debt to EBITDA. How do you think about M&A opportunities albeit for sure on tuck-ins that how do you think about your balance sheet as it relates to the M&A opportunities and with that sort of $150 million EBITDA target hanging out there and there is not a lot of commentary on that now, but certainly there is some focus on that so just perhaps you could provide some thoughts on M&A vis-à-vis your balance sheet?
Henry E. Demone: Yes, sure so I mean obviously our focus is to reduce to leverage through the application of free cash flow that we generate and 4.4 is not where we want to be, we said our goal is three, over the course barring any acquisition certainly over the course of 2015 we will get a lot closer to the three to free cash flow that we generate. Smaller tuck-in deals if they are opportunistic and truly small like Atlantic Trading then we are willing to write a check out of our existing facilities in order to do those. Anything larger than that we would obviously look at a mix of equity and debt financing in order to do the transaction, we don’t see increasing our leverage in any significant way to do a deal that’s the right move for us right now.
Marc Robinson: Okay. Thanks very much.
Operator: The next question is from Bob Gibson, with Bob Gibson with Octagon.
Robert Gibson: Good afternoon everybody.
Henry E. Demone: Hey Bob.
Robert Gibson: Business integration thoughts in Q4, can you give me some color and is this a new trend?
Henry E. Demone: Yes, so in Q4 the increase was primarily related to the additional supply chain costs for the supply chain optimization project. Not related to previous acquisitions. So you will see that number continue in the first few quarter of 2015 but then start to decline as you actually also start to see the benefits of a supply chain optimization work also go up.
Paul A. Jewer: Expense declines in Q3.
Henry E. Demone: Yes.
Robert Gibson: Okay and you used to give us a little color on the various brands I’m just thinking Fisher Boy must be doing very well in this environment.
Henry E. Demone: No, I think we don’t give a lot of color on brands; Fisher Boy though is in an overall product category that is in decline, so Fisher Boy is experiencing frankly the same experience that its competing products in that category are. Sea Cuisine is actually a brand that continues to grow well for us in U.S. region.
Robert Gibson: Great. Thank you.
Operator: And the next question is from Michael Mills with Beacon Securities.
Michael Mills: Hi good afternoon guys.
Henry E. Demone: Hi Michael.
Paul A. Jewer: Good afternoon Michael.
Michael Mills: I just noted in your MD&A, you talked about U.S. organic volume declines partially attributable to retail and I’m wondering what the split is if that’s driven by some private labels, some changes there if that’s just a general trend with some of the branded products.
Henry E. Demone: Yes, so it would be, it’s not branded, as I just said actually Sea Cuisine is actually growing quite nicely. So it is some private label declines in the U.S. particularly related to some work we were doing in our acquired businesses. And the majority of the decline in the U.S. is actually in the foodservice channel.
Michael Mills: Okay we talked about fuel and the hopeful impact on the consumer. I am wondering if there is any impact from lower fuel prices on your distribution expenses.
Henry E. Demone: We do get a little bit of a benefit in lower fuel surcharges, but that’s not a material expense for the company. We don’t hedge in other direction. So its – it helps but it’s not material Michael.
Paul A. Jewer: Yes, the only comment I’d make is you know diesel would be our primary fuel and that is – that has lagged the decline that we’ve seen in oil prices. So we would expect to see some improvement going forward, but not significant as Henry said, most of that the distribution that we do is done by third-parties on our behalf.
Michael Mills: In your targeted supply chain initiatives are there distribution and I guess freight and storage cost opportunities for you guys to realize [indiscernible] as it is now.
Henry E. Demone: Yes, now there are gains there, and if you look at the benefits which we’ve outlined roughly two-thirds come from individual plans and a third comes from supply chain which is - it’s variety of freight and storage expenses that we expect to run more effectively given the scale of the company today.
Michael Mills: Okay, and then final question its time - especially where we live in the world in terms of whether and the impact on Q1. Do you think it could have a meaningful impact given the …
Henry E. Demone: Well, I’d say no because last winter was really bad and not just in the Northeast of the continent in the entire continent. So yes, it’s been horrible in Eastern Canada, it’s been horrible in New England, but if you remember last year it was Chicago had 23 days in a row where the temperature didn’t go above zero fahrenheit, so much of the country had a normal winter. So relative to last year, we don’t expect to be weather hit, we’ve had a little bit of operating disruption with our employees just can’t get to work. I would say that’s measurable, but probably not material, but I think relative to last year it won’t be a hit.
Michael Mills: That’s it from me. Thanks guys.
Henry E. Demone: Thanks. End of Q&A
Operator: That was our last question, at this time I’ll turn the call back over to the presenters.
Henry E. Demone: Yes, well we want to thank all of the callers for dialing in and we will continue to keep you updated on our progress and look forward to our next conference call in May, which is the same time is our annual general meeting. Thank you very much.
Operator: This concludes today’s conference call. You may now disconnect.